Operator: Good afternoon/Good morning. This is the Chorus Call conference operator. Welcome and thank you for joining the STMicroelectronics third quarter and first nine months 2010 earnings results conference call. At this time, I would like to turn the conference over to Mr. Tait Sorensen, Director, Investor Relations. Please go ahead, Mr. Sorensen.
Tait Sorensen: Thank you everybody for joining our third quarter 2010 conference call. Hosting the call today is Carlo Bozotti, ST’s President and Chief Executive Officer. Joining him on the call today are Alain Dutheil, Chief Operating Officer; Carlo Ferro, Chief Financial Officer; Carmelo Papa, Executive Vice President of the Industrial and Multisegment Sector; and Philippe Lambinet, Executive Vice President of Home Entertainment and Displays. This call is being broadcast live over the web and can be accessed through ST’s website. A replay will be available shortly after the conclusion of this call. This call will include forward-looking statements that involve risk factors that could cause ST’s results to differ materially from management’s expectations and plans. We encourage you to review the Safe Harbor statement contained in the press release that was issued with the results last night and also in ST’s most recent regulatory filings for a full description of these risk factors. And now, I’d like to turn the call over to Carlo Bozotti, ST’s President and CEO. Carlo?
Carlo Bozotti: Thank you Tait and thank you all for joining today’s call. We appreciate your interest in ST. The third quarter was a good quarter for financial results, progressing towards our target model and seeing the benefits from our portfolio investments. First, our financial results were well in line with the outlook we shared with you in July. Net revenues were $2.66 billion, representing year-over-year growth of 17%. On a sequential basis, net revenues increased 5%, above the mid-point of our range of 2% to 7% growth. Gross margin came in at 39.2%, also above the mid-point of guidance. Operating profit showed a significant sequential improvement, more than doubling. And finally, at the bottom-line, adjusted earnings per share of $0.23 increased 28% sequentially, and here again has shown progressive and substantial improvement during 2010. Second, during the third quarter, we had record sales in two product segments and, in reaching the record, achieved a key milestone. ACCI, our largest segment, accomplished record sales and our IMS segment reached both a record sales level and surpassed the $1 billion in quarterly revenues milestone for the first time. Third, the September quarter was also a period where we moved, one quarter ahead of expectations, into the key financial targets for 2010 that we outlined at our field trip in London this past June. Specifically, we were targeting an ACCI operating margin in the high-single digits at the year end, and in the third quarter we exceeded that goal with ACCI posting a double digit operating margin. We were targeting an IMS operating margin in the high-teens at year end and in the third quarter we were already at the very high end of that range. Also, as anticipated, ST-Ericsson continued to make solid progress on transitioning its product portfolio and in the third quarter improved its cost structure and reduced its operating losses. Looking at the company in total, thanks to the improved operating results and higher net asset turns, the RONA attributable to ST reached 19% in the quarter. We moved into our target range of 16% to 22%, well in advance of our expectations even during this exceptional period of investment in wireless R&D. These improvements are coming from multiple directions and demonstrate that our targeted investments across our business are paying dividends. First, the reshaping of our product and the investments in innovation over the last several years has positioned the company to offer more robust and higher value products. Second, the very significant realignment for our manufacturing has lowered our wafer costs. And third, through our investments in marketing and sales, we extended our customer reach and our presence in key geographic regions. The progress at both ACCI and IMS, representing about 80% of our revenues, demonstrates that our efforts to develop waves of innovative products is taking hold and producing results. The investments we have made in product R&D are now bringing tangible benefits to ST from a financial perspective. Key products contributing to the revenue growth of the quarter included our gyroscope families, our general-purpose 32-bit microcontroller families and our power and smart-power products, which serve many different markets. But while we are pleased at our progress, we are not stopping here. Looking ahead, we are excited as our product development pipeline is full of innovative and higher value products. Some of our most promising products include our latest generation digital TV system-on-chip and Display Port interface ICs, MEMS microphones, motion sensors, and high performance analog products for a variety of applications, such as advanced sensors for medical and power line communication ICs for smart grids. In regards to the remaining 20% of our revenues, the product transition is well underway at ST-Ericsson. The effort is currently shared with our partner Ericsson but we look forward to sharing with Ericsson the future opportunities. So now, let’s turn to the quarter’s results in detail. We saw continued positive progression with our gross margin. It reached 39.2% in the third quarter, representing a 90 basis point increase over the second quarter. Since the start of the year, gross margin has improved 220 basis points. The sequential increase in the gross margin principally reflected improved manufacturing and the contribution of new products, partially offset by a slight decline in pricing trends. Currency did not have much impact this quarter. Inventory turns during the third quarter were 4.5, in line with our target range of 4.5 to 5 times. They were lower than the second quarter’s 4.8 times, reflecting a buildup of inventory for Q4. However, of the $130 million increase in inventory at the end of September compared to the end of June, about a quarter of increase simply reflects currency translation. At the completion of the year, we expect an improvement in turns from where we finished this past quarter. Turning to CapEx; on our second quarter conference call, we indicated that capital expenditure levels would be significantly higher in the second half compared to the first half reflecting the extended lead times earlier in the year for capital equipment. I had indicated that the delivery of equipment has been accelerating in the second half of the year and this is exactly what has happened. Due to the accelerated demand we have faced across all end markets for the past few quarters, our year-to-date CapEx-to-sale ratio is slightly above 8%. Our capital expenditure focus relates to important new products which will be coming on stream, as well as new products that are already in volume production and for which we are looking to be in a position to satisfy higher demand levels. So effectively, ensuring the right type and level of capacity is one block and the second is related to technology shifts where we are preparing for. Turning to our balance sheet and liquidity, our net financial position showed further progress again this quarter increasing to $878 million net cash balance. We talked about our path to even higher liquidity as the Micron shares and other items come into play. One of the pieces of this path came through this quarter as we collected our $250 million cash deposit formerly restricted as collateral for the Hynix-Numonyx joint venture. In addition, we took further actions to maintain our financial strength and flexibility. During the quarter, we entered into a new, un-utilized, 350 million euro credit facility at competitive terms with the European Investment Bank. Also, we repurchased a portion of our 2016 convertible bonds and 2013 senior bonds. In the coming months, we are prepared to redeem from outstanding cash approximately $570 million in residual 2016 bonds that are likely to be put back to us in February, 2011. Now, let me turn to our product segments. As I had said earlier, ACCI had a very good quarter with record sales. Net revenues increased 29% year-over-year and 4% sequentially. The growth was led by ICs for automotive applications and printer products on a sequential basis. At the operating level, ACCI delivered a 29% sequential increase in operating income, leading to an improvement in the operating margin to 11.7% from 9.5%. The sequential improvement in ACCI’s operating margin reflects the leverage coming from higher sales as well as product mix. We are very pleased with this progress as we exceeded our end of the year high-single digit operating margin goal. We will not stop here as we are focused on ACCI achieving mid-teens operating margins in the mid-term. IMS had record revenues and surpassed the $1 billion milestone. Revenues were up 43% year-over-year and 7% sequentially, with microcontrollers, analog, MEMS and power products leading the growth. IMS is our most profitable business segment, and we are encouraged to see the segment grow quarter after quarter. Its operating income increased 45% sequentially and its operating margin improved to 19.7% from 14.4%. IMS is already at the highest point of its end of the year high-teens operating margin target, but we see some opportunity to further improvement. Turning to wireless, ST-Ericsson released its financial results and held its conference call last week. The joint venture, as expected, showed a sequential increase in revenues of 4% and reduced its operating loss. In the third quarter, ST-Ericsson experienced good traction of their new, high value entry 2G/EDGE portfolio. The ongoing transition of ST-Ericsson’s product portfolio will continue for some time. In the meantime, we see encouraging signs. The joint venture is completing the development of new and innovative platforms for smartphones and tablets and has impressive opportunities going forward. Let’s turn now to our fourth quarter business outlook. We are encouraged by the level of our backlog in the fourth quarter. As a result, we expect sequential net revenue growth of between 2% and 7%. Based upon our revenue outlook and currency assumptions, we are targeting a gross margin of about 39.5%, plus or minus 1 percentage point. Our third quarter gross margin was 39.2%. So we expect to see some additional improvement sequentially despite a negative impact from the sales mix between product segments. Also, keep in mind that during Q3, we prepared for a seasonally higher Q4, so manufacturing activity was at more optimal levels compared to today where we are preparing for a seasonal downtick in Q1. Looking at the demand environment, as our results indicate, it was generally good in the third quarter. As noted by other industry players, we saw some softening in demand in some areas, such as computer and consumer. The industry is coming off of unusually high levels of backlog. We see this slowdown as a mild adjustment, not a downturn in the overall demand or a change in the semiconductor cycle. We would expect this softening to remain for a few quarters. So we have taken that into account in framing out – in framing our fourth quarter outlook and in looking at the environment going into the first quarter of 2011. While the year is not over yet, we expect that our served market will have growth between 20% and 25% during 2010. In 2011, our early view is that ST’s served market may grow between 5% and 10%, so a return to normal growth trends and seasonality for the industry following the deep crisis of 2009. Based upon our product portfolio and customer discussions, we should be positioned to grow faster than our served market during 2011. So to conclude, ST has made significant progress since the start of this year. The results of the investments in R&D are visible in our product portfolio, helping to position us to grow faster than the market, driving improvement in our profitability and enhancing our future opportunities. ACCI and IMS are creating value now and will continue to do so in 2011 while ST-Ericsson will begin to capitalize on opportunities to create value and will demonstrate this as we move through next year. Overall, we have dramatically improved our return on invested capital in the first nine months of 2010 for the ST shareholders reaching a RONA, return on net asset, attributable to ST of 19%, which is now about twice our weighted average cost of capital. Now we would be happy to take your questions. Thank you.
Operator: The first question is from Mr. Gunnar Plagge from Nomura. Please go ahead sir.
Amit Desai – Nomura: Yes, hello, thank you. This is actually Amit Desai [ph]. Congratulations on a good quarter. My first question revolves around the OpEx going into Q4. If you could just share your thoughts on how would you see OpEx evolving in Q4? And I also have a follow-up.
Carlo Bozotti: Okay, so, Carlo?
Carlo Ferro: Good morning/good afternoon everybody. Thanks for the question Gunnar. Indeed the third quarter expense is, of course, reflect some seasonality as our press release highlighted, and some of you rightly picked this morning. However, also they do reflect a substantial reduction in the expenses streamline of the company. And in this respect when comparing Q3 ‘10 to Q3 2009, so at the similar seasonality effect, you may have noted that OpEx reduced by $46 million year-over-year. So, there is of course a very structural and a stable change in the expenses streamline. Having said that, the fourth quarter will not reflect a similar seasonality given vacation in Europe in the month of – December month, and also by our characterization of the fiscal year ending on December 31st, the fourth quarter is slightly longer than the third quarter. So, in absolute dollar, you may expect expenses in Q4 to be higher than Q3. As a percentage of sales for sure, will not go back at all, and the 35% of the second quarter will be more similar to the about 32% of Q3 or slightly higher than this, as a percentage of sales, and obviously a lot also would depend where finally the sales fall within the range of our guidance.
Amit Desai – Nomura: Okay, thank you. And as a follow-up, if I may, you’re guiding to around 4.5% at the midpoint sequential growth. And ST-Ericsson earlier was looking at around flat growth going into Q4, which, in that case, could you then probably explain how do you see trends evolving between Automotive and Industrial in terms of sequential growth going into Q4?
Carlo Bozotti: Yes, of course, we see a substantial growth in IMS, in both our analog, power, MEMS, but also microcontrollers, and also significant growth in the Automotive. And there, you know, significant growth there, very much driven also by new products. I would like to mention here two lines that are really giving an important contribution this year. One is microcontrollers and the second one is our MEMS families. So they are leading the pack. There are other families where we are more flattish like Wireless; hopefully we will grow. But, I mean in Q4, and I think IMS overall will more than compensate these other segments that are in a kind of flat mode.
Amit Desai – Nomura: So you would say probably IMS is growing faster than ACCI and then Wireless, flat…?
Carlo Bozotti: While we do not provide the detail, of course, Automotive will also grow significantly. So, but overall IMS will grow more, yes.
Amit Desai – Nomura: Okay, thank you.
Tait Sorensen: Next question, please.
Operator: The next question is from Mr. Guenther Hollfelder from Unicredit. Please go ahead, sir.
Guenther Hollfelder – Unicredit Research: Hi, so I don’t know whether Carmelo is around. So I was wondering whether he could comment on the trends he is seeing in the distribution channel here, going into the fourth quarter, given the comments we had from some competitors, and also as ST has quite a low exposure to the distribution channels than some of the US companies. Thanks.
Carmelo Papa: Hi Guenther, and good afternoon and good morning everybody.
Guenther Hollfelder – Unicredit Research: Hi.
Carmelo Papa: Well I would say distribution channel business is usual, because there’s a slight increase of the inventories in the various region of the world, but it has been largely compensated by the increase in resale. So, all in all, the situation is under control. And that I can confirm this is throughout the various regions. So I do not see for the time being any major problem in the distribution channel.
Guenther Hollfelder – Unicredit Research: And you would expect some sequential growth in Q4 then, for the distribution channel for your business?
Carmelo Papa: I think so.
Guenther Hollfelder – Unicredit Research: Okay, great. Maybe just a follow-up on the CapEx, is there already some visibility, or could you say whether CapEx in 2011 will remain below the 10% level for STMicro?
Carlo Ferro: Yes, I’ll say definitively yes. The capital expenditure in 2011 at the current level of visibility will be below the 10% level. I would say at the end, we incurred in one year with no substantial need of building capacity and deliver a 5% CapEx to sales ratio in 2009. This year, of course, you know that we have been rushing to serve our customers building up capacity, and you noted year-to-date we are at 8%. I will not exclude that we will exit the year somehow higher, a little bit higher than this 8%, and frankly 2011 will very much depend on building up of demand for the year. Of course, we continue to be very careful and very modular in spending and we are preparing capacity for servicing the customer. We are preparing capacity for the new products, including a new product for ST-Ericsson. And in this respect, the reference model for us remains a reference model with CapEx in a range of about 7% over a full cycle.
Carlo Bozotti: Yes, and of course we are also intensely working to increase the outsourcing. And there are areas where we really need more internally and also from outside, and I would like to mention some of these areas because of also great business opportunities. The first line is MEMS, it’s really strong. I did really mention microcontroller, which is the second line. But in general, our, you know, activity in analog CMOS is pretty strong. For advanced analog, for power management including the power management and the radio frequency for the Mont Blanc, as a companionship for MEMS. So, we are expanding here both outside and inside. High-voltage power MOS, for instance, we have a new technology in power MOS which is very, very competitive technology. So, some BCD. So, it is, you know, really focused mostly new products technology manufacturing investment.
Guenther Hollfelder – Unicredit Research: Okay, great, thank you very much.
Carlo Bozotti: Next question please.
Operator: The next question is from Mr. David Mulholland from UBS. Please go ahead sir.
David Mulholland – UBS: Hi, thanks for taking the question. Just one following on from that I guess on MEMS. You’ve talked previously about possibly getting $100 million from gyroscopes. And I would just question is that still on track or how is it progressing? And where could it get to next year?
Carmelo Papa: I was a little bit concerned with you, by the way, Dave. We will pass that number. Yes, we will definitely meet our objective. I said around $100 million, will be more than $100 million.
Carlo Bozotti: Yes, it’s becoming very material business for us and it is, of course it is not all the gyroscopes. Gyroscope is, for us the product of the year. But in the press release we did mention, for instance, MEMS microphones. But we have a number of families around this technology that are hitting the market and we see a tremendous opportunity for growth in 2011.
Tait Sorensen: Do you have a follow-up, David?
David Mulholland – UBS: Yes, just one quickly, just on how utilization rates were through the quarter and sort of where it sits at the end of the quarter. I think you mentioned, it sounds like slightly slowing, but...
Alain Dutheil: Yes, this is Alain Dutheil speaking. In fact our key utilization rate last quarter was very high, above 90%. And today we are planning on utilization rate of about 87% which is quite high also because maybe you remember that when we talked about our utilization rate is comparing to the standalone capacity, and 100% is not reachable for us. When we are at between 85% and 90%, I think it’s a kind of ideal situation because we have enough flexibility if we need to enter new orders, and at the same time our fabs are fully loaded. And maybe – because usually I have also the question on the subcontractor, which Carlo mentioned. So I can take this opportunity also to say that we were very close to 17%, the activity of subcontractors.
David Mulholland – UBS: Okay, just one quick follow-up. Could you maybe just quantify the impact of how much longer the quarter is and how that’ll impact OpEx and also revenues?
Carlo Ferro: In technical terms, the number of days in Q4 is about 6% longer than the third quarter. Then on the question of how does it impact revenues and expenses, of course, that very much also depends on the activity with our customer at the end of the year since this additional days between Christmas and New Year is not necessary are active days for all customers. So, I wouldn’t expect that the impact on revenues is much, much more relevant in terms of calendar – you know in respect eventually to the impact on operating expenses, which instead is more mechanical. However, also under this respect, of course, we are taking some measures and suggesting also to enjoy the Christmas period for vacation to all our colleagues at least in the indirect force. And we are trying also to mitigate this effect. So, it’s not directly mathematical. Unfortunately cannot be in-held also.
David Mulholland – UBS: That’s great. Thanks very much.
Tait Sorensen: Thanks David. Next question please.
Operator: The next question is from Mr. Francois Meunier from Morgan Stanley. Please go ahead sir.
Francois Meunier – Morgan Stanley: Yes, hello, it’s Francois. Just a first question about the pricing environment, I guess everything were relatively easy in Q3. Have you seen any change going into Q4? That would be my first question. In terms of market share, we have seen the – I am sure you have seen as well, there was a guidance from Texas Instruments and other US companies going into Q4. Obviously it is a good lower exposure than you to the distribution, but still do you feel like you are taking market share overall? Is it something which is sustainable into next year, given all the good work you have done in IMS and ACCI?
Carlo Bozotti: Well, fine. I think on the prices, we do not see a real difference today compared to last quarter. I think there are still areas of constraints, by the way. I mean some of the areas that I did mention are also areas of continuous constraints in terms of supply chain from us, but also from some of our suppliers. In terms of market share, let’s face it. I mean, we are losing market share in Wireless, because this is a transition year. But they believe we are gaining market share big way on the rest. I think in Q3, I think we, net of Wireless, we did grow by about 5%, which is a substantial growth with IMS leading the pack for us in the growth. We believe that mostly thanks to the new products that we did mention in the release and this conversation, we have a good opportunity next year to outperform the market and we expect then a more substantial contribution from ST-Ericsson in the second half of the next year.
Francois Meunier – Morgan Stanley: Okay, thank you very much.
Carlo Bozotti: Thank you.
Tait Sorensen: Thank you Francois. Next question?
Operator: The next question is from Mr. Sandeep Deshpande from JPMorgan. Please go ahead sir.
Sandeep Deshpande – JPMorgan: Yes, hi, Sandeep here. Thanks for taking my question. Couple of questions from me. Firstly, on your – the businesses that you have, I mean, you have talked about in the past about the imaging business and doing something with the imaging business. Any progress on that front which will be able to improve your margins even further? Secondly, on your manufacturing strategy, I mean clearly you are talking about more outsourcing. But, I mean, surprisingly, the trend seems to be changing in the semiconductor industry. The IDMs, as many of your other competitor IDMs are talking about building more fabs at this time. So, I mean, what are your thoughts on that, as well as, whether you can use your 300-millimeter capacity at Crolles, given that, I mean, Texas Instruments et cetera keep talking about large 300-millimeter fabs in analog, whether you need that or whether your products don’t need that sort of capacity? Thanks.
Carlo Bozotti: Yes, well, I think sort of your first question was on imaging. Well, I think, very simply the status quo is not an option. So, we have two options and of course we are working on the two options. One is the structuring of the business and the second option is a strategic move. The business today is clearly diluting from the gross margin point of view and it is not contributing basically to the earning per share. This is not, you know, it’s basically breakeven. So, there is – but the status quo is not an option and what we want to do for anything that we do, we want to make sure we can be a leader, and we do not believe that this is the case in this piece of business. So, in terms of manufacturing, I think we are moving on with our strategy. We have, of course, a wide variety of analog products, and some of them we can manufacture in Singapore and of course we believe it is an enormous asset for ST because you may know that we are running in Singapore now at the level that is in the range of 17,000 wafers – well it is 6-inch, but is per day. So, it is a 17,000 wafers per day, 6-inch equivalent so that is a very, very, you know, very, very high volume. And every time we can’t manufacture our analog products. Of course, we have a very strong motivation, that is of course the cost structure related to this tremendous volume. On the other hand, there are other products like the products that I did mention before, our, let’s call CMOS analog, for radio frequency for power management, for many products in – including, you know, the companionship for MEMS, for instance. And indeed for this product, of course, Crolles too is a very good solution and is part of our plan. And, so we will go on. I think we have a greatly simplified manufacturing machine of ST. Today we believe it is more stable. And we are pleased about the structure that we have. I think in any place where we operate the dimension of scale has improved significantly. And on the other hand, we want to move on with our strategy to outsource at least 20% of our revenues. And this is giving us important advantage in terms of flexibility to make sure that we can systematically operate within optimal loading on what we do internally.
Sandeep Deshpande – JPMorgan: And if you talk about a little – if I just ask you a little bit about profitability, I mean, clearly, I mean, your businesses are becoming much more profitable than they were for the last few years. I mean if you look at ST versus some of your peers in terms of valuation, you’re clearly not being valued as highly as some of your peers. But some of your businesses are now doing as well as your peers. But would you think of restructuring the company such that you can improve the valuation of the company given how the market looks at some of the pure-play companies?
Carlo Bozotti: What do you mean by restructure the company. I think – we want to make sure that what we do in IMS today is not the arrival point, but is just the starting point. And we did discuss about imaging, and of course, I believe we can do better in the area of Automotive and digital consumer. But very importantly, we want to go through these exceptional phase of R&D investment in Wireless, and we are doing this not alone. I think by design, it would have been impossible to do this alone in ST, as you know the scope of the products is very wide. We are confident that what we are doing there has a certain value. And we have good customer traction. It takes time, unfortunately, it takes time. But we are confident that what we are doing is top class, is really good products for smartphones and tablet applications. So, this is what we want to do. I mean, it’s more working on the fundamentals, and making sure that Carmelo Papa is not only at 20% level, et cetera, et cetera, and – but very importantly that we get into much higher topline on Wireless.
Sandeep Deshpande – JPMorgan: Thank you very much.
Carlo Bozotti: Thank you.
Tait Sorensen: Thank you Sandeep. Next question please.
Operator: The next question is from Mr. Simon Schafer from Goldman Sachs. Please go ahead sir.
Simon Schafer – Goldman Sachs: Yes, thanks so much. I was interested in your comment about maybe going into a more, I guess, normalized period where, you know, maybe rush orders are ceasing and lead times are beginning to be a little bit more normal. That’s something that your analog peer group has talked about as well. But then that’s coinciding with some inventory build on your own balance sheet. So in aggregate I guess – I was wondering, are you feeling more comfortable about the situation today than you did maybe three months ago, because lead times have come in and this sort of acceleration of the order book has become a little bit more normal? Or should we worry about the inventory build on your books? Thank you.
Carlo Ferro: Simon, the inventory build that you saw in the quarter at the end is aimed at servicing demand in the fourth quarter in line with the revenues outlook that we have shared with you, and which by the way is very well supported by the level of confirmed backlog we entered the quarter in this respect. By the way, yes, as a technical note, you may have measured $130 million inventory increase in the balance sheet. However, over $30 million depends on the currency translation impact. And the rest is at the end for servicing Q4. Q4 is normally a peak of seasonality for us. And the normally exiting Q3, like exiting the Q1, the company experience the lowest inventory turns in these seasonal pattern. So, we exit the Q3 at the 4.5 turns. We target to exit the Q4 with accelerated turns higher than 4.5, and in this respect, we are managing inventory in line with the target model, which I remind to all is targeting a 4.5 to 5 turns.
Simon Schafer – Goldman Sachs: I see, I understood. So, I mean, it sounds if then I guess you are effectively saying that you feel the industry in aggregate is still somewhat undersupplied. So maybe you could comment as just to about how much capacity of your internal factories is coming up? How much you are adding versus how much you are incrementally growing with the outsourcing partners? And then I’d have a follow-up question on the manufacturing side. Thank you.
Alain Dutheil: Yes, in fact, this is Alain Dutheil speaking again. Yes, we have – we told you several times that what we are trying to do is to build – to increase our capacity Q4 over Q4 by about 20%. And if I look at what our level in Q3, if I will increase our capacity maybe by about 15%. And what we said also is that of course, our CapEx will be toward the end of the year because you could not get the equipment earlier. So the capacity is increasing and we will keep increasing also in Q4, as I said before. And on top of that, I was mentioning that last quarter we moved from about 15% to about close to 17% on outsourcing. And probably in the fourth quarter, we will be at the same level.
Simon Schafer – Goldman Sachs: Understood, got it. And so my follow-up question actually would –
Alain Dutheil: You need to understand that the 17% are applying on the capacity which is the output which is higher.
Simon Schafer – Goldman Sachs: Yes, understood. And actually I am not sure I understood the answer of a previous question which I guess was – look, you know, TI is talking very highly about the economics of high performance of analog in general on 300 millimeter. How is ST evaluating that step forward in terms of more aggressively migrating certain parts in analog onto 300 millimeter? When would you do that? Would you consider doing that more aggressively and so on? Your thoughts on the economics of that would be very helpful. Thank you.
Carlo Bozotti: Yes, I think I did answer that. It depends on the products. There would be products like advanced, I mean, CMOS analog, the product that we are using as a companion chip for Mont Blanc, both for radio frequency and for power management, for instance. But these are also the products that we are using as a companionship for our MEMS, micromachinery products. In this we see on this category of analog, good opportunity to grow 12-inch. And we have the, you know, the assets that we have what we need in Crolles too, for you know, this migration in 12-inches, in fact, is available. The micro-lithography is of course not of the same complexity of the 45 nanometer, but is much more complex of many other analog products. And this is something that we plan to do in 12-inch also, Okay? Then there is a second block that is our smart power technologies, and on these block we believe that the machine that we have in 8-inch is very competitive. We are working on the dimension of scale. In fact we have significantly simplified and grown the dimension of scale of the 8-inch machine. And then there is a third block that is the more mature analog products and frankly, I believe with the volume and the dimension of scale that we have in Singapore, we are extremely competitive because the volume in Singapore is very, very, very high. I did mention the 17,000 wafers per day. That is 6-inch equivalent but is an enormous volume. So, this is the strategy. We have a block that is, of course 12-inch. We have a block that is – and is mostly the smart power that is 8-inch. And then we have a block that is more mature analog – but including advanced analog, but mature from the technology point of view that is perfectly compatible with our 6-inch operation in Singapore. And of course, for us is a great advantage to be able to manufacture this product in Singapore.
Simon Schafer – Goldman Sachs: Got it. Thanks so much.
Tait Sorensen: Thanks Simon. Next question please.
Operator: The next question is from Mr. Jerome Ramel from Exane BNP Paribas. Please go ahead sir.
Jerome Ramel – Exane BNP Paribas: Yes, good afternoon. I’ve got two questions; one for Philippe. Broadcom this morning gave some positive comments about the set top box market. They were claiming a market share, namely in China in cable. So I just wanted to check with you how you see the situation in set top box market, and when do you expect revenues from Freeman for the digital TV? And the second question will be more for Alain. So, with all of what you have accomplished with the company, and all of what you have done, and where the company is now today, what do you think the company still needs to have to do from a manufacturing standpoint? Thank you.
Philippe Lambinet: Okay. I will start then on the set top box and TV question. Set top box market is indeed doing pretty good. I would disagree with the statement of my favorite competitor about their share overall. I think worldwide we are this year gaining share. And for sure they are entering some of our markets. That has been the history. We always open new markets and China was one of them. And then they come later and gain some share. But thank God, there’s always new markets which we open and we grow or sales if we compare 2010 sales versus 2009 sales, the growth is absolutely tremendous. So, yes set top box business is doing well also for us. Let’s put it this way. On the TV, we will start generating sales this quarter of the Freeman family. Of course, there will be small sales there because it’s just the start of production of this new platform. The sales will continue to grow all along 2011 and of course 2012. So, there’s a pretty aggressive growth plan on Freeman and then on the next generation Newman. But we already have, as I said, we already have design wins and committed customers, and the first sales are happening this quarter.
Alain Dutheil: Okay, now about manufacturing, Jerome. In fact most of what we had to do has been done, as you were mentioning. So, I would not recommend to have some big closure of fab or whatever. But there is always some optimization which is possible. What we always need to look for is the right dimension of scale and these of course is a continuous process. You know, I think for – my opinion is that at least for a foreseeable future, I think that the infrastructure that we have is the right one, these are the ones we need. But we always need to challenge it and of course, you know, again dimension of scale is important and also the location of plant is also very important. But I think now towards what we had to accomplish and what we defined a few years ago I think has been done and there’s going to be over when finished getting out of our perimeter. But I think this is a never ending process, which we’ll still have to challenge manufacturing infrastructure and take the right decision at the right time.
Jerome Ramel – Exane BNP Paribas: Okay, and thank you very much.
Tait Sorensen: Thank you, next question please.
Operator: The next question is from Mr. Jonathan Crossfield from Bank of America Merrill Lynch. Please go ahead sir.
Jonathan Crossfield – Bank of America Merrill Lynch: Thank you. Hi, good afternoon. I had a question on your computing business, which I think was up 16% sequentially driven by, I think, you mentioned printers. And then in the outlook you mentioned some softness in computing. Is that a situation of some overbuild, or is there something else going on in that market?
Carlo Bozotti: No, we see, you know, we wrote softening because we see, you know, Q4 that is relatively flat (inaudible) stop growing and I think this is of course, printers, it is also disk drives, is – I believe, you know, for us disk drives, there are two blocks. One is more the power product that is very strategic and is very strategic and very important for ST. Then there is a second block that is, you know, more an ASIC business, is more opportunistic kind of products. And then there is the printers and in the printer business there are, of course, at least three angles. There is the digital core, the printers. There is also power element in the printers, and there is also the cartridge business. We see some flattening, but from a level that is pretty good and I believe these normal adjustments and we are convinced that what we are doing in the area of smart power here, in the area of the digital core, adding also functionalities for the multi-function printers and all the cartridge printer business with new technologies and new applications is, you know, always is a great line for ST.
Jonathan Crossfield – Bank of America Merrill Lynch: Okay, thank you. Then just as a follow-up, you mentioned that the smartcards business was down sequentially I think in Q3. Was that just a sort of normal lumpiness in that business? And do you see that trend reversing in the fourth quarter and going forward?
Carlo Bozotti: Can you say again what business?
Jonathan Crossfield – Bank of America Merrill Lynch: The smartcard business.
Carlo Bozotti: No, I think, we have – I think it might be the segment – I think is – we see a good momentum in everything that we do in MMS, what we call MMS. I think we expect a very significant growth in MMS this quarter. Of course, MMS is part of IMS but (inaudible) I think is – there is nothing special. I think is good momentum and MMS with microcontroller, smartcard, will contribute to the growth in Q4 this year compared to Q3.
Jonathan Crossfield – Bank of America Merrill Lynch: Okay, and then just finally, Carlo, could you maybe comment on the hedging position going forward, given we’ve seen the dollar weakening somewhat in the last couple of months?
Carlo Ferro: Yes, I would say that this exchange rate I was waiting for the question and hopefully we have also greatly prepared in term of hedging by adopting our systematic hedging which today starts again to give advantage to our P&L. To be short, on the answer, I will share with you the percentage of euro-denominated expense exposure which is currently hedged for the next four quarter, and the relevant average rate. For this current quarter 50% is hedged at the rate in the range of 1.33. And the effective 1.36 rate underlying our outlook for the quarter substantially reflect an expectation of current rates as they are today or slightly higher to continue through the rest of the quarter in November and December. For the third quarter ‘11, about 45% is currently hedged. The ratio there it is 1.31. For the second quarter, about 30% is currently hedged at 1.28. So, going forward, of course, a lower percentage of exposure is hedged. As we see these numbers became relevant for many of you, you would find these statistics also in the quarterly presentation that we normally post on the website after the call.
Jonathan Crossfield – Bank of America Merrill Lynch: Thank you very much.
Tait Sorensen: Thanks Jonathan. Next question please.
Operator: The next question is from Glen Yeung from Citi. Please go ahead.
Glen Yeung – Citigroup: Thank you for taking my question. The first thing I want to ask is kind of a bigger picture cyclical question, because what we see in the market is, you know, lead times coming in. We see orders starting to slow down. But for ST, we see capacity going up and, you know, are actually positive revenue guidance for the fourth quarter. I will be the first one to tell you that I think the cycle is different. But I would love to hear your perspective on what’s changing – or what’s different this cycle than what we may have seen in other cycles where we see the same type of things, lead times slowing. And then as part of that, and I think this ultimately is going to answer my own question, but you know, you spent a lot of time on this call talking about secular growth opportunities, and so I wonder, as part of your response to what we’re seeing cyclical, if you could try to weave in, you know, what’s secular for STMicro that may make this different.
Carlo Bozotti: Well, to be very, very direct, we are investing on really new products technologies and capacity. I mean, we have a tremendous new end demands. It’s not one product family, it’s not one application, it’s very broad. From consumer to portable equipment, to industrial, to medical, and we are investing there because we’ve an enormous demand and we want to respond properly and support our customers on these proprietary technologies. There is another area where we are investing. I already mentioned, is the analog CMOS. And the game here is very specific products applications and customers. There is another area where we are investing, you know, certain BCD technologies because the demand from our automotive customers in these areas is very, very strong. So it is very focused on three or four blocks of technologies to support ST, and also to support in the second half of next year, ST-Ericsson with these Mont Blanc ramp up that will be very significant. So this is what we are doing. Of course, we are not investing in general purpose technologies. Of course, we are careful in looking at the evolution of the inventory position of our distributors. So looking at the trend of the TOS [ph] at our distributors. But we are confident that what we are doing in terms of capital investment is absolutely the right move, because it’s supporting our new products’ growth and is new products with also, you know, good value there. There is a correction in the bookings. Our backlog position for Q4 is solid. We have a strong backlog for Q4 and I think on the other hand, we understand that there is a flattening in the market. There will be for sure an important deceleration of the growth. Our visibility today is that the market will be flattish in Q4, will decline in Q1 and then have to pick up again in Q2 and – but overall we see the market that we serve is going to grow up from 20% to 25% next year. The visibility that we have at this moment is that the market is going to grow between 5% and 10%. At a very broader level, at the macroeconomic level, I mean, the visibility that we have is that there is a recovery, but there are of course, concern about the fragility – the potential fragility of this recovery. But the recovery is in place, I mean. And despite there are certain concern, I think, we believe the trend is there.
Glen Yeung – Citigroup: Well, that’s actually very helpful, thank you. I just want to – one other follow-up. In the call, you mentioned that pricing was a little softer. I just wonder if it was softer beyond your expectations, or did you expect pricing to slow a little bit? And maybe you could just help us with what the pricing trend has been earlier this year, and how that compares to what you saw in the third quarter.
Carlo Ferro: I’ll say that in 2010, at the end, we are experiencing, I would say, normal pricing trend for this industry in outside the area of the application-specific standard product and in the advanced technology while we have been enjoying as we continue to enjoy a quite easier price environment on the standard product. Of course, there are differences also based on the new product. The product innovation is very critical on this respect. Currently for instance, in Wireless, we are experiencing more the normal price pressure on the legacy product portfolio while of course the future product are expected to boost profitability.
Glen Yeung – Citigroup: Thanks. Sounds about normal. I appreciate that, and well done.
Carlo Ferro: Thanks Glen.
Carlo Bozotti: Thank you.
Tait Sorensen: Thank you Glen. Next question please.
Operator: The next question is from Mr. Odon de Laporte from Cheuvreux. Please go ahead sir.
Odon de Laporte – Cheuvreux: Yes good afternoon, gentlemen. Thank you for taking my question. You just said you expect the market – your addressable market to grow by between 5% and 10%. I was wondering, is it excluding Wireless or including Wireless?
Carlo Bozotti: Now this is including Wireless.
Odon de Laporte – Cheuvreux: Okay. Okay thank you.
Carlo Bozotti: This does not include the memories for instance. This does not include the microprocessor, optoelectronics.
Odon de Laporte – Cheuvreux: Do you expect in 2011 to grow in line with the market in Wireless?
Carlo Bozotti: This conference call was last week, I can respond in general. I mean, I think Wireless, let’s face it. We are in a transition. The first half of next year is not going to be easy. But we expect a strong improvement in the second part of next year. Overall, I believe that looking at the new products, Mont Blanc of course is a new product, but is going to be, as I said, more in the second part of the year we have demands, we have the microcontrollers, we have the high-voltage power MOS, we have lot of new, you know, smart power products. We have the Freeman, okay? We also have a new interactive families in the area of, you know, consumer and the interface between consumer products and computer products is our DisplayPort offer. So, we have a comfort that – thanks to all of these new products, next year, we can outperform the market in terms of overall growth, including ST-Ericsson.
Odon de Laporte – Cheuvreux: Okay. This is impressive. Thank you very much.
Tait Sorensen: Thanks Odon. Next question please.
Operator: The next question is from Mr. Lee Simpson from Jefferies. Please go ahead.
Lee Simpson – Jefferies: Hi, good afternoon, gentlemen. Quick question on autos if I could. You mentioned earlier in the call that you see significant sales growth in the automotive end market. But some others are just steering to a slowdown in order intake and seem to be pointing towards sense and control as the areas where the slowdown is occurring. Do you have any sort of visibility of a new conservatism in ordering going into 2011? And could you give us any sort of sense about the changing lead times that might (inaudible) as well? Thanks.
Carlo Bozotti: Yes, what we see is create a strong demand for 2011 are Automotive. In fact we have been in contact with many customers, of course, sometimes also with care makers and there are important drivers. And of course I am talking about our traditional customers, I mean, particularly the European customers, but we also have customers in America, and we also have customers in Asia. China is a very, very important driver. And the electronic content was on the low end cars, but – and of course in the high end cars for China, is an important electronic content. There are other drivers for instance, the replacement of the traditional lamps technologies, headlight technologies with the power LED and a lot of smart power products. So, we see a good momentum. We see a strong demand and we are planning for a significant growth next year in the Automotive.
Lee Simpson – Jefferies: Great, that’s pretty clear. And maybe just one quick follow-up, if I may. Just with respect to the permanence of some of the OpEx savings we saw last quarter, I wonder if you can give us a sense about how complete now do you think the R&D program is ahead of the new products that you see shipping next year in Wireless and beyond?
Carlo Bozotti: I did not get completely the question. Can you say again? Yes, sorry.
Lee Simpson – Jefferies: Not a problem. Just trying to get a sense for, you know, you’ve got a lot of new platform products coming out next year in the Wireless sector. And clearly it’s been a main focus for your R&D this last cycle. You’ve certainly over-invested this last cycle into Wireless. Now that will translate into sales next year. I just wanted to get a sense for how complete that R&D program is, and the extent therefore of how much further R&D savings we could get in 2011. Thank you.
Carlo Bozotti: Well I think that, you know, again this is specific to Wireless. But the way that can be seen is the following. We have the ambition to cover Wireless applications, not on the very low end of the products, but let’s say we have the ambition to grow from single chip EDGE kind of products into the HSPA+, 3G and also the LTE, and this is the modern line. So, it’s pretty broad. We have the ambition to have a competitive application processor bought for integrated solutions, also in terms of standalone product. And we also have the ambition to cover on the connectivity products like GPS, the Bluetooth, the FM radio, the Wi-Fi, all of this is that we need. And of course this is on top of the traditional power management and radio frequency device. So the scope is pretty broad, and we know that there is an effort here that we are sharing with the Ericsson group. Compared to what we have today, there are still some additional saving that are part of the restructuring plan that we have announced and this is about $70 million as annualized R&D saving. And then starting from there, once this is completed, that is basically the end of this year, the focus would be on speeding up, you know, the time to market. And as I said, it will be material in the second part of next quarter, and move from there. I think, you know, the wireless market today is a $23 billion market. This market will become in the next few year a $30 billion market and we want to have our share fair – our fair share. And as I said, the scope is global. It is a big scope. Therefore we could not do this in ST alone, but we are sharing with a solid partner. But once this, you know, restructuring is completed, it would be more continuous improvement and efficiency improvement rather than additional restructuring plan.
Lee Simpson – Jefferies: That’s perfect. Thank you very much.
Carlo Bozotti: Thank you.
Tait Sorensen: Thank you Lee. Next question please.
Operator: The next question is from Mr. Stephane Houri from Natixis. Please go ahead sir.
Stephane Houri – Natixis: Yes good afternoon, everyone. Just a quick question on the first quarter. Could you give us some comment on the seasonality of the first quarter as you see it now i.e. what tells you your order book right now?
Carlo Bozotti: Well, of course, I think it is still, you know, two good months to go. So, it is a little bit, you know – I think we see a kind of a normal seasonal. We have areas where probably is, you know, IMS for instance, system is pretty good in Q1. I did mention Automotive, again seems to me pretty good in Q1, but there are other areas that are impacted by the seasonal effect. I would say that overall is on the norm. So we have a visibility that is on track with normal trend that we have in Q1.
Stephane Houri – Natixis: Okay, and how would you qualify your – the trend in Q1, normal trend? Is it minus 8%, minus 10% sequentially, something like that?
Carlo Bozotti: Then we – I think you know this. In fact I think is, you know, above 7% but below 10% in terms of decline.
Stephane Houri – Natixis: Okay. Thank you very much.
Carlo Bozotti: Thank you Stephane.
Tait Sorensen: Next question please.
Operator: The next question is from Mr. Tristan Gerra from Robert W. Baird. Please go ahead sir.
Tristan Gerra – Robert W. Baird: Hi, good afternoon. Quick question on the cycle again. And there seems to be a growing consensus that you are supporting that basically we are going to have a pause, as opposed to a down cycle.
Carlo Bozotti: Yes.
Tristan Gerra – Robert W. Baird: At the same time, lead times remain well above normal. And I think they’ve come down much slower than a lot of people would have expected just a quarter ago. What makes us think, however, that once lead times normalize back to normal level that we wouldn’t see the type of late cycle effect that we’ve seen in the past? And I guess that relates to ordering relative to (inaudible) demand trends earlier this year.
Carlo Ferro: Tris, I believe that we substantially concur on this interpretation Carlo said earlier that we do not see a sign of the downturn – is a pause, is a mild adjustment at least based on the current visibility we have – we have talked about a fourth quarter which we’re seeing sequential growth and we have talked about a normal seasonal pattern for the first quarter based on the current visibility and then an expected peak in demand starting from the second quarter of 2011.
Carlo Bozotti: Yes, on the lead time, you know, there are products that are, you know, take for instance, computer peripheral products. These are mostly major customers and we work on forecasting systems that are pretty sophisticated and rolling and covering typically twelve months or even, you know, with some visibility over two years and it is – now the lead time is important of course for IMS, where we have certain families that is more standard products. I believe that there will be on these standard products some form of normalization. But frankly just in IMS and both ATM and MMS that we have so many new things where really lead times on all of these new things for us remains pretty stretched.
Alain Dutheil: Maybe I would like to add something because just to come back on the question which was put before what is different in this cycle than other cycle? I think there is a major difference is that the other cycles were created by our industry. Our industry was over-investing. And then we were creating over-capacity. And then the usual scheme which is you know over-capacity, then drop of price, over-inventory and so on and so forth. This time it was not the case. We did – the industry didn’t over-invest. It was the consumer demand which was decreasing, the end customer demand – consumer demand which was decreasing. So, therefore our industry was not in a situation of over-capacity because of over-investment. And now the investments which are made are just a kind of recovery to normal situation. This is why I don’t see any over-capacity existing. Because it’s just – it’s true for us for example. It’s just a recovery from a situation which was a situation of under-investment. I just remind you that we are not investing any longer in the 25%. Our industry is moving 10% to 15%. So, this is what is the major difference, that this time it’s not our industry which has created the problem, it was the consumer demand.
Tristan Gerra – Robert W. Baird: That’s very useful. And also second question in analog, I think you have addressed the question of your competitiveness from a cost standpoint in analog versus the competition. What about market share? So if we look at TI talking about adding about $4.5 billion in capacity over time through three new fabs, clearly going after market share over the next few years. Would you on your end emphasize capacity expansion to at least protect your market share in analog? Are you going to emphasize instead mix and margins? And do you think that TI move overall in analog is going to be disruptive? Or do you think that – or do you not expect much difference in dynamics in that market over the next couple of years?
Carlo Bozotti: Well, I think Carmelo will comment. But from my side, you know, the analog market is a very fragmented and very differentiated kind of market. You know, yes we have many, many things. You know, there are at least four important blocks in any of these systems. Three of them can easily be considered as analog. The fourth one is different. But if you take any electronic system, you have a block that is about censors. You have a block that is about power management. You have a block that is more about the control and the, you know, all the analog techniques, and then you have a block that is typically a microcontroller or a microcontroller system. And, you know, it’s very spread out. I am sure that TI is very aggressive. But you know, I mean we have our own strength and we believe that we can competitively, you know, participate and win and grow, both in terms of revenues and in terms of margin. Of course, we are focusing on areas in the frames of what I have described, where we believe we have important competitive advantages. And we will not, of course, focus on analog to digital or digital to analog converters. This will be, you know, will not make any sense. But there are other areas like sensors for instance where we can absolutely, you know, lead the pack with enormous, tremendous growth opportunities. So, you see, it’s very broad. Carmelo, if you have…
Carmelo Papa: If I can complement to what to said Carlo, I think that the battle, if we can say, will be all around the new products. And we have our, of course, we are also thinking of refurbishing technologies to make us more competitive in some areas. But all in all, it is more of the new products. And we have our distinction capability which is around MEMS, around our management, around those sensors and network. This is all low power management overall. This is the areas where we will focus. And then of course, which means a build-in design and application knowledge, and ties with customers. I think we all have this. So, we can compete neck-to-neck with the best in this sector.
Carlo Ferro: (Inaudible) consideration around that since – we appreciate all these questions at the end are dealing with some possible concern about the competitive contest in advanced analog and the possibility these competitive contest may fall into some erosion of margin at this point. I think in this respect, what is important today for ST is to expand the ways of advanced analog as a percentage of our total sales and whatever at the end could be the size of this erosion in margin, you expect for sure this business will be substantially accretive to the 39% in gross margin we started from. Sometimes it happened to me, sometimes to me the investors say at the end if one believe in analog, but is concerned about some point of erosion on the margin on analog, ST is the best stock to pick since whatever may happen, on this margin if we expand our presence, that will create value for ST.
Tristan Gerra – Robert W. Baird: Very useful. Thank you.
Tait Sorensen: Thanks Tristan. Next question please.
Operator: The next question is from Mr. Kai Korschelt from Deutsche Bank. Please go ahead sir.
Kai Korschelt – Deutsche Bank: Yes, good afternoon. I had a question on the 15% margin target for ACCI. Can you just give a bit more color on what you think will drive that quite significant improvement in your view, and also what the time frame of that be? Is it pure revenue growth volumes, is it mix, is it cost? And then my second question is just in terms of the guidance, so if I back out the 6% increase in base, then essentially your guidance looks like it is implying plus 1 to minus 4, I mean, is that the right way to think about it, that this sort of accounting has a probably more than about usual impact on the fourth quarter? Thank you.
Carlo Ferro: So, the first question is about the driver of margin expansion in ACCI and basically here we still – we’ve captured a portion of the opportunities that we have introduced to you when meeting in June about the profitability part for our key segments, but there is a substantial portion still to come. Talking specifically about ACCI at the end when we met in June, the segment was running at mid-single digit. We anticipate the ACCI to move towards high-single digit by the end of this year and then to target the mid-teens. The first point – the fact is that the ACCI has already reached 11.7% in this last quarter. However, there are still some substantial rate of improvement and I would like to mention at least three among that. One is about Automotive. Automotive is substantially sensible to operating leverage, revenues has not reached yet the peak of revenues this group can reach, and it’s profitability is not at the level that we have experienced before the recession. And these generally you know about our final initiative of streamlining the manufacturing by closing Phoenix and today the Automotive group, the one paying, I’d say, the bill of this transition for Phoenix that will be completed in the course of the first quarter 2011. The second one is about the digital consumer. In digital consumer, set top box delivered nice profitability. Digital TV is today an area of investment and Philippe has already mentioned to you about the good progress encouraging on digital TV also progressively moving to a level of revenues yielding profitability. And the third one already addressed in your prior question, is about the end, eventually the opportunity for fixing a level of margin and profitability of imaging which is well below the company target that Carmelo has already addressed. The second part of your question is about the calendar impact of revenues is right, Kai?
Kai Korschelt – Deutsche Bank: Yes, that’s right. Yes.
Carlo Bozotti: So, in this respect, at the end of the day, really we have customer demand which at the end is based on expected delivery per month, not necessarily on the specific day. A longer quarter for sure help revenues not necessarily proportionally. A significant part of our business is also based on consignment inventory whereby we recognize revenues when the products are drawn from the inventory at the customers, and obviously if there is less activity as – normally there is less activity between Christmas and New Year is not necessary fall into revenues at the same run rate of the prior period.
Kai Korschelt – Deutsche Bank: Okay, that’s very clear. Thank you.
Tait Sorensen: I think we will end on one last question. We have been running long. So, we have one more question, operator?
Operator: The last question is a follow-up question from Mr. Francois Meunier from Morgan Stanley. Please go ahead sir.
Francois Meunier – Morgan Stanley: Yes, it’s a pretty simple question actually. It’s on the OpEx reduction compared to the previous quarter and compared to last year, if you can give us a bit more detail where you’ve cut in terms of R&D specifically?
Carlo Ferro: Well, you know, Francois Meunier, at the end, this is really the progressive rollover of all the various restructuring initiatives that we had launched at beginning of 2009 coupled with the cost to streamlining loans to buy ST-Ericsson in the various space is then when comparing year-over-year, I would say that both of the ingredients have contributed to the result when comparing from – sequentially from the prior quarter in 2Q to 3Q ‘10, the substantial progress has been made in the ST-Ericsson R&D, in line or even a little bit faster than the announced plan of restructuring which is ongoing and as ST-Ericsson management told to you on Friday, will be completed by the end of this year.
Francois Meunier – Morgan Stanley: Okay, thank you very much.
Tait Sorensen: Thank you Francois Meunier. And I think at this point, we’d like to go ahead and close down the call. Thank you for your attendance.
Carlo Bozotti: Thank you all.
Carlo Ferro: Thanks to all of you.
Alain Dutheil: Bye bye.
Operator: Ladies and gentleman, the conference is now over. Thank you for choosing the Chorus Call facility, and thank you for participating in the call. You may now disconnect your lines. Good bye.
